Operator: Greetings, and welcome to S&T Bancorp Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mark Kochvar. Thank you. You may begin.
Mark Kochvar: Hi, thanks very much. And good afternoon. Thanks for participating in today's call. Before beginning the presentation, I want to take time to refer you to our statement about forward-looking statements and risk factors, which is on the screen in front of you. This statement provides cautionary language required by the Securities and Exchange Commission for forward-looking statements that may be included in this presentation. A copy of the second quarter earnings release can be obtained by clicking on the press release link on your screen or by visiting our Investor Relations website at www.stbancorp.com. I'd now like to introduce Todd Brice, S&T's President and CEO, who will provide an overview of S&T's results.
Todd Brice: Well, thank you Mark and good afternoon everyone. We are very pleased to report record net income of $22.8 million or $0.65 per share for the second quarter, which is a 25% increase over our first quarter results of $18.2 million or $0.52 per share and a 33% increase over second quarter 2016 results of $17.1 million or $0.49 per share. The return on assets, return on equity and return on tangible common equity were 1.29%, 10.55% and 16.15% respectively for the quarter. Highlights for the quarter again featured net interest margin expansion, controlled expenses, a reduction in the provision expense and security gains which totalled $3.6 million or $0.07 per share. These were $1 million higher than previously disclosed in last quarter’s call and the variances attributed exiting the position in the banking entity who announced the merger in Q2. Excluding gains, core EPS was $0.58 per share which was a 14% increase over the first quarter core EPS of $0.51, an 18% increase compared to core earnings per share of $0.49 in the second quarter of 2016. Net interest margin increased seven basis points to 3.57% over the first quarter, which is also a 13 basis point increase over the second quarter of 2016. And as a result net interest income increased by $2.7 million or 5% and year-to-date versus 2016 it’s up $11.1 million or right around 11%. Again, controlling our non-interest expense continues to be a focus across the organization. For the quarter expenses were down approximately $200,000 or $36.6 million versus the first quarter and are running flat year-to-date compared to last year. The combination of increased revenues in flat expenses is creating a nice operating leverage and is also positively impacting our efficiency ratio which was at 51.48% for the quarter. We also experienced some favourable trends in our asset quality metrics as overall provision expense declined by $300,000 to $4.9 million. Non-performing loans declined by $9.3 million or 20% and now stand at $36.7 million or 0.63% of total loans. Overall delinquency declined by 5 basis points to 0.87% and charge-offs to the quarter were $5.3 million and in line with expectations. We do like the direction of our asset quality numbers, in the way they are moving and expect to see continued momentum in the second half of the year. Balance sheet growth for the quarter was somewhat muted as loans and deposits were flat. Our customer deposits balances did increase $46 million for the quarter, however overall deposits were down about $25 million as we led to $55 million of brokerage CDs run off. Our Chief lending officer, David Antolik will elaborate on lending activity in a few moments, but overall loan growth has been impacted by a conscious decision to manage the margin, increase spreads and not chase some ultra competitive loan pricing on the long end of the curve that we are seeing in the markets right now. Our bankers continue to excel at developing and maintaining relationships that benefit our customers in a company for many years and we believe competitive factors will more than benefit us once the marketing conditions turn more favourable. All-in-all we are very pleased with our core operating metrics and like our position as we move forward. The final thing I just want to mention before I turn the program over to Dave is our Board of Directors did declare a $0.20 per share dividend which is a 5.3% increase over the same period of last year. So Dave, all yours.
David Antolik: Hey thanks Todd and good afternoon everyone. As Todd mentioned we are very pleased with last quarter’s results particularly with solid growth that we saw in net interest income. Our focus in the second half of 2017 is to drive revenue growth by combining improved loan yields with single, a mid-single digit full year loan growth, all the while continuing to improve our credit metrics. Our decision to focus on improving loan yields and more modest loan growth is prompted by recent short term rate increases combined with curve flattening and our reluctance to compete at lower spreads for new and repricing loans. We have seen competitors reduce spreads especially for term rates beyond five years and we believe that maintaining our disciplined approach to loan pricing will benefit shareholders in the long run. As we look forward to the second half of 2017, we expect to see the full benefit of a Fed June 14th rate increase and resulting tailwinds that will help to further improve revenue. As a result of these strategies we saw limited loan balance growth in Q2. Within the C&I book we saw utilization rates reduce from 43% to 41% during the quarter as customers reduced inventories in order to reduce expenses, particularly in our automobile floor plan business. Within the construction and CRE portfolios, we experienced the normal cycle of funding and completion of projects and movement of balances into the CRE portfolio. We did experience increased payoffs this quarter due to property sales and a more aggressive permanent loan market. Finally, calling activities remain robust throughout all of our markets and our pipeline has increased in recent months. We continue to recruit bankers in order to build upon our proven ability to grow. We will continue to make this investment, our staff and we like how we are positioned with great bankers in great markets with ample opportunity for customer acquisition and revenue growth. And now Mark, will provide you with additional details on Q2 results.
Mark Kochvar: Great, thanks Dave. The net interest income improvement in the second quarter of 2017 compared to the first quarter of 2017 of $2.7 million was due to an increase in average loan balances of $128 million combined with higher short-term rates. We had strong loan growth at the very end of the first quarter which carried through to the average balance increase in the second quarter, despite modest point to point growth in the second quarter. Loan yields improved by 12 basis points this quarter and we are now consistently seeing new loan rates higher than paid rates. Costing liabilities increased by 8 basis points this quarter compared to a 4 basis point increase between the first and fourth quarter of 2016, deposit costs were up 5 basis points this quarter compared to 2 basis points between the first quarter of 2017 and the fourth quarter of 2016. This acceleration is likely to continue into the third quarter, the effective deposit [Indiscernible] do have some lag. We still expect a net benefit to our net interest margin rate in the third quarter from the higher short term rate that came with the debt increase in June. The front end of the curve impact that’s more than the long end, so the recent planning will not cause a large drag. The [net interest] margin rate increases will slow and the net interest margin should stabilize in the fourth quarter and into 2018 depending on the level of pressure on deposit rates from increased competition and higher customer expectations. Net and security gains, non-interest income was inline with the first quarter. Non-interest expense exhibited good control and was also essentially flat into the first quarter. On a go-forward basis, we continue to expect our expense run rate to be in the range of $36 million to $37 million per quarter for the remainder of this year. Tax rate in the second quarter 27.4%, that’s in line with our full year expectation. Our risk based capital ratios improved this quarter by about 35 basis points due to retained earnings and a reduction in risk weighted assets as loan growth was slower and we continue to reduce our HVCRE exposure. Thanks very much. At this time, I’d like to turn it back over to the operator who will provide instructions for asking questions.
Operator: [Operator Instructions] Our first question comes from the line of Brody Preston with Piper Jaffray. Please go ahead with your question.
Brody Preston: Good afternoon guys, how are you?
Mark Kochvar: Good, Brody, how are you doing today?
Brody Preston: Doing well, thanks. Hey Mark, my line cut out a little bit, what was the expense number that you gave for the quarterly run rate.
Mark Kochvar: $36 million to $37 million in that range.
Brody Preston: So on the margin you guys said you are expecting to see deposit cost increase a little bit, but you expect to get full benefit from the June hike, so what could you sort of expect for our margin trajectory from here?
Mark Kochvar: What I think it’s going to – the net interest margin rate should go up maybe a couple of basis points as we go into Q3, but then barring any feature of that increases we should see it stabilize and again depending on the level of competition you could see us stick lower as we move into next year. But again that’s getting pretty far out and depends on what the Fed does here in Q4 probably.
Brody Preston: Okay. And I guess going back to deposits; the deposit data was a little bit bigger this quarter than last quarter.
Mark Kochvar: Right.
Brody Preston: Is that something you expect to see sort of pick up from the 25% range that it was this quarter?
Mark Kochvar: Yes. I do expect it to go a notch higher, because there is a bit of a lag there. It is – as customers evaluate the situation there is more attention paid to rates. It does take a little bit time for that to happen. So we’ve probably see a little bit of acceleration of that going into Q3.
Brody Preston: Okay. And you mentioned that the pipeline had picked up and you’re tracking for mid single-digit loan growth for the second half for the year?
Todd Brice: Correct.
Brody Preston: I guess which geographies do you seeing that in and in which business lines?
Mark Kochvar: We’re seeing it across all of our geographies. In fact the approach to the market of looking for more yields has impacted all of our markets. But we’re seeing good activities and particularly in the newer markets, Western New York, Central Ohio, Central Pennsylvania, Northeast Ohio.
Todd Brice: Yes. C&I business has been good in Western PA.
Mark Kochvar: Yes. Our C&I team saw a growth this quarter, although we did exit a few shared national credits and continue to look to exit some relationships where they are not – don’t fit our core strategy. In fact if you look at the balance sheet end of the quarter, there were approximately $80 million of C&I loans over in loans held for sale.
Brody Preston: Okay. All right. And then just one more from me, credit continues to improve guys, but on the net charge-offs picked up a little bit. Just wondering what drove that?
Todd Brice: Yes. I think we had some resolution of a number of credits this year that were positive, and this was kind of our expected for first half of the year to have kind of the heavy charges especially coming in the second quarter. So really on that that charge number came in and I think right on top of what our expectation was. I think going forward it will lighten. And I think for the full year Brody, our expectation is still in the range that we previously disclosed in that 22, 23 basis point range for the year.
Brody Preston: Okay, great. And just one more, what loan categories were those charge-offs in?
Todd Brice: Across or between C&I and CRE.
Brody Preston: Thank you very much.
Todd Brice: That was weighted too much over the other.
Brody Preston: All right. Great. Thanks a lot guys.
Todd Brice: Welcome.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Collyn Gilbert with KBW. Please go ahead with your questions.
Collyn Gilbert: Thanks. Good afternoon, guys. Mark, just for you, just on the NIM obviously came in strong this quarter better than what you guys were thinking going into the quarter. Was that a function of sort of the strategy that you guys indicated you implemented where you’re going to pull back on growth and just really focus on yield? Or just trying to connect the dots there as to why the NIM came in much higher than it sounded like you were expecting it to going in to the quarter?
Mark Kochvar: I think part of was loan yields, I think we’re seeing a little bit better pricing on the front end. We got better stabilization with that paid versus new than we had expected. And I think the lags on the pricing on the deposit side are little bit more pronounced than we thought. We have some little bit higher more aggressive rates out there, but they have not been as successful due to the competition. So on an incremental basis more of our funding came from the wholesale market is actually little bit cheaper than the deposit side. But as we get out there little bit more on the customer deposit side that’s behind some of our previous comments that you might see a little bit of the higher trajectory to the liability costing changes as we move into Q3.
Collyn Gilbert: Okay. And on the broker that you pushed out this quarter, is there more that you intend to do in the future? Or how you seeing that portfolio sort to shake out?
Mark Kochvar: That’s could be more function of just kind of a net loan growth versus deposit growth…
Collyn Gilbert: Okay.
Mark Kochvar: …and how it squares against other wholesale borrowing opportunities. We used that -- most of it to fill in mostly and at the pricing, more pricing question than anything.
Collyn Gilbert: Okay, okay, that makes sense. And then just your comment that maybe, I know there’s just a million variables in uncertainty here, but the fact that you may see a drop off in the NIM next year. Is not just -- assuming that just from the funding side, the funding cost just…
Mark Kochvar: Right.
Collyn Gilbert: Okay, okay. Okay. That’s helpful. And then the – does there anything in particular on the other operating expense line that inflated this quarter. Were there any seasonal items that should be backed out either on the fee or expense side as we go forward?
Mark Kochvar: On the fees, it’s really just the game that’s broken out. On the credit side we did have a little higher, some workout-related costs that were made about $0.5 million higher than usual. But other than that expense side was pretty clean.
Collyn Gilbert: Okay. That’s helpful. And then just – I just want to make sure I understand kind of the movement on the MPLs on some of the resolution that came in this quarter. Maybe could you just walk through that, Dave, I don’t know if it’s good for you to do? And then the charge-offs that you took this quarter, I presume it was tied already to these credits that you've kind of been working to resolve over the last two quarters. Is that right?
David Antolik: Yes. I’ll start with the last part of your question first and that you’re absolutely on point with that. When you look at the numbers, if you think that we had as far as new formation little over $4 million is 4.2, 4.3 if I’m remember its right kind of roll in to MPL, so it slowed quite a bit. And then we had about 13 to 13.5 somewhere in between there of resolution. Obviously, we have about 5 million in charge, that means we had $8 million of positive resolution, so our positive resolution out run our charges again for the second straight quarter.
Collyn Gilbert: Okay. Okay. That's great. And then, is there any – was there any migration on the watch list side or any changes in risk ratings that occurred this quarter? I know, Todd, you had indicated your outlook for net charge-offs, so just curious about the rest of movement within the portfolio?
Todd Brice: There’s changes in risk ratings all the time, Collyn, so as far as fluidity in the portfolio, but nothing that I think that has been detrimental and that more severe categories substandard.
Collyn Gilbert: Okay, okay. Okay, that’s good. I’ll leave it there. Thank you.
Operator: Our question comes from the line of Matt Childers with Boenning and Scattergood. Please go ahead with your questions.
Matt Childers: Good afternoon.
Todd Brice: Hi, Matt.
Matt Childers: So you talked earlier about hiring commercial lenders and was just trying to get a sense of are you looking to fill an existing geographies that you’re going to look to open, say, some new geographies and how many you think you would add? And whether you're looking for big bank lenders or sort of people looking to make a lateral move to a different institution?
David Antolik: Hi, Matt, it’s David Antolik. So, our approach is not to add new geographies necessarily, but to kind of complement the teams that we have out there. We do have a couple of retirements that are taking place or that have taken place this year that we’re looking to replace folks. So part of its maintaining existing staff, but certainly in order for us to drive growth we need to add folks. We’re particularly focused on C&I bankers, that’s a big initiative of our strategic lease to grow that book and typically those folks would come from banks of similar size or larger.
Matt Childers: Okay.
Todd Brice: And so at the other end of the spectrum, there -- in some of the market that we’re in there some good opportunities in the business banking world which is a small business division. So, we have we have a couple folks that we’re talking to probably two or three people in that line of business as well.
Matt Childers: Okay. Any change from your historic M&A outlook?
Todd Brice: Not really, Matt, I think we’re just going to maintain the discipline. Again, we feel very comfortable with our ability to grow the company organically again this quarter. We had nice effect on capital, so they need to generate capital internally and just be prepared if and when a couple of folks that we would have an interest in would decide to do something.
Matt Childers: Okay. Thank you.
Todd Brice: All right, Matt.
Mark Kochvar: Thanks, Matt.
Operator: Our next question comes from the line of Daniel Cardenas with Raymond James. Please go ahead with your questions.
Daniel Cardenas: Hey, afternoon, guys.
Mark Kochvar: Hi. Daniel.
Daniel Cardenas: I think you mentioned in your comments that you exited some SNCs this quarter. Could you maybe give me some color as to how much that represented and categorically what type of loans or what type of industries were this in and what are your plans for additional exits in the SNC portfolio looking forward?
Mark Kochvar: So, the few of exits were special assets exits, and I don't have the numbers its off top of my head in terms of the amounts, but generally speaking when we look at the SNC portfolio, it’s not an area of focus for us. So unless we have a relationship that we can round out in terms of gathering depositors or creating other fee opportunities, we’ve look to reduce our exposure in that portfolio. But there's no industry concentration. It’s not oil and gas or anything specific in that respect.
Pat Haberfield: This is Pat. As far as from the workout is a more severe rated loans from the SNC portfolio. I think its roughly about $5 million or $6 million of what we exited through there this month as well.
Daniel Cardenas: Okay. And then the growth that we saw this quarter was any of that via participations?
Mark Kochvar: No.
Pat Haberfield: No. We’re not real active in that space. I mean our total SNC is around 200 million or so and that's been shrinking in flat.
Daniel Cardenas: Has the organic growth in your footprint improves, you’re just kind of shrinking that portfolio, is that the assumption?
Todd Brice: Yes. Again, its not a – our core of strategies still relationship strategy and as a participating banker, as a buyer of a portion of a SNC, it’s difficult to round out that relationship. So -- it was our focus on growing deposits, growing other fee opportunities it just doesn't fit with our core mission.
Daniel Cardenas: Okay. And then you also mentioned that perhaps you been a little bit more measured and cautious in the loan portfolio just given competitive factors out there. Is that more from smaller banks or larger financial institutions? And is that more pricing or structural in nature?
Todd Brice: It’s pricing for the most part. On the longer end of the curve its primarily smaller banks who are willing to take five, seven and 10-year rate risk. We’re just talking about this the other day. We’ve got prime at 4.25. We’re seeing five-year pricing in the low to mid fours and 10-year pricing in the mid to high fours. So we’re just not going to participate that far out the curve and take that kind of rate risk. If you look at municipal banking, municipal lending opportunities is primary the larger banks who are driving rates down and their subprime for five to 10-year fixed rates and a lot of cases there now. We will from time to time pay something more aggressively where we want to protect an existing relationship. We’re not aggressively looking to add new customers based on a very aggressive longer-term rate.
Daniel Cardenas: Okay, great. My other questions have been asked. Thank guys.
Todd Brice: Hi, Dan.
Mark Kochvar: Thanks, Dan.
Operator: Thank you. [Operator Instructions] And it seems that we have no further questions at this time. I’d like to turn the floor back over to management for any closing comments.
Todd Brice: I just want to thank everybody for participating in today's conference call. And Mark and Dave and I appreciate the opportunity to discuss the scores results and look forward to hearing from you next quarter. So hope you all have a good day.
Operator: Thank you ladies and gentlemen. This concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.